Operator: Good morning and thank you for joining us for Marine Products Corporation, First Quarter 2012 Earnings Conference Call. Today’s call will be hosted by Rick Hubbell, President and CEO; and Ben Palmer, Chief Financial Officer. Also present, is Jim Landers, Vice President of Corporate Finance.
 At this time, all participants are in a listen-only mode. Following the presentation, we will conduct a question-and-answer session. Instructions will be provided at that time for you to queue up for questions. I would now like to advise everyone that this conference call is being recorded. Jim, will get us started by reading the forward-looking disclaimer. 
Jim Landers: Thank you and good morning. Before we get started today, I’d like to remind everyone that we’re going to be discussing things today that are not historical facts. Some of the statements that will be made on this call will be forward-looking in nature and reflect a number of known and unknown risks.
 I’d like to refer you to our press release issued today, the 2011 10-K, and other SEC filings that outline those risks; all of these are available on our website at www.marineproductscorp.com.
 If you have not received our press release for any reason, please visit our website that I just mentioned for a copy. We’ll make a few comments about the quarter and then we’ll be available for your questions.
 Now, I’ll turn the call over to our President and CEO, Rick Hubbell. 
Richard Hubbell: Jim, thank you. We issued our earnings press release for the first quarter of 2012 this morning. Ben Palmer, our CFO will discuss the financial results in more detail in a moment. At this time, I’ll briefly discuss our operational highlights.
 First, net sales for the quarter were 39% higher than the first quarter of last year. As a result of increased demand, we sold approximately 54% more units to dealers. Unit sales increased dramatically due to the sales of our Chaparral H2O Sport and Fish & Ski Boats, as well as our value-priced Robalo, outboard sport fishing boats. The sales of these new models also caused a decrease in the overall average selling price during the quarter, as compared to the first quarter of 2011.
 Secondly, gross profit increased due to higher sales and improved gross margin. We generated an operating profit for the quarter of slightly more than $2 million, compared to an operating profit of approximately $600,000 in the first quarter of 2011. For the quarter Marine Products Corporation reported diluted earnings per share of $0.04, which doubled 2011’s first quarter diluted EPS of $0.02.
 With that overview, I’ll turn it over to our CFO, Ben Palmer. 
Ben Palmer: Thank you, Rick. For the quarter ending March 31, 2012, we reported net income of $1,632,000 compared to $666,000 last year. Our diluted earnings per share for the quarter were $0.04, compared to $0.02 per share for the same period in 2011.
 Our unit sales to dealers increased by 54.1%, compared to last year. All of this increase was due to the successful introduction of our Chaparral H2O Sport and Fish & Ski models, as well as our Robalo 180 and 200 outboard sport fishing boats.
 These value-priced models are new for the 2012 model year and have been received enthusiastically by our detailers and retail customers. Overall, average gross selling prices decreased by 11.3% during the quarter, also due to sales of these new boats. These value-priced models are the smallest models within our 2 recreational boat lines that their average selling prices are lower than average.
 During the quarter, our field inventories grew as we increased production and sales to our dealers in order to meet improved retail demand. Although dealer inventory levels are higher than at the end of 2011, and this time last year our order backlog is strong, therefore we are making certain that our dealers have an appropriate level of inventory to fill retail sales opportunities during the current selling season.
 MPC’s international net sales during the first quarter of 2012 were 22.5% of total net sales, compared to 18.1% during the first quarter of 2011. The majority of this increase was due to increased sales in Canada where we have new dealers and where we believe the economy has improved as well. Most other international markets continue to struggle.
 Gross margin was 18.5% of net sales for the quarter, compared to a gross margin last year of 16.4%. Gross margin improved because of success in designing, building and marketing these new models, as well as efficiencies gained from higher production volumes.
 Sequentially, comparing fourth quarter 2011 and first quarter 2012, gross margin declined from 19.7% last quarter to 18.5% this quarter. Although net sales increased by 26.2% sequentially and we achieved some leverage on our labor cost and overhead. Our increased net sales came from smaller boats, which carry slightly lower margins.
 Selling, general, and administrative expenses in the first quarter of 2012 were $4.9 million, a 28.2% increase compared to $3.9 million in the first quarter of 2011. These expenses increased due to costs that increase with sales and profitability such as incentive compensation and sales commissions, as well as higher advertising costs.
 However, these expenses declined from 14.2% of net sales in 2011 to 13.1% of net sales in 2012, due to leverage to some of these fixed costs over higher net sales. Interest income was approximately the same in the first quarters of 2011 and 2012. Our effective tax rate was 28.8% during the first quarter of 2012, an increase from 20.7%, compared to the first quarter in 2011.
 Our effective tax rate during the first quarter of 2012 was higher than at this time last year because a greater percentage of our income before income taxes is comprised of taxable operating income versus tax-exempt interest income.
 Our profitable operations continue to strengthen our balance sheet. At the end of the first quarter, our cash and marketable securities balance, at the end of the first quarter was $59.9 million. We are maintaining our production levels based on our strong backlog supported by strong retail sales of our dealers, this key spring selling season. We will continue to monitor customer demand relative to field inventory levels and adjust production as we deem appropriate.
 And with that I’ll now turn it back over to Rick for a quick summary. 
Richard Hubbell: Thanks Ben. Most of the traditional indicators in the recreational boat business have turned positive. The 2012 winter boat show season was strong and the ensuing retail selling seasons have provided some strong confirmation of renewed consumer interest initially experienced a few months ago.
 Our dealers have better floor plan financing availabilities than they’ve had in many years, which is key to their ability to stock inventory to meet consumer demand. Also we note that our market share in the 18 foot to 35 foot stern drive recreational boat market continues to increase.
 For the full-year of 2011, market share increased 103 basis points to 8.37% and we expect continued momentum as a result of strong sales of our new models in the 18 foot and 20 foot size range that recently entered the market.
 We do not perceive a return to the sales levels a few years ago any time soon. Our near-term outlook for the selling environment for our products is the most positive it has been in a long-time. We are very pleased with the success of our entry level Chaparral and Robalo models this year. We are proud to offer a high quality product to the first-time in value conscious boat buyer.
 Not only do these models yield good financial results for us as the quarter of earnings demonstrate, but they also represent a positive introduction to the quality and innovation of our complete product line. We believe that the people who buy these entry level models will consider our company and our products during future boat purchases.
 I'd like to thank you for joining us this morning. At this time, we would be happy taking any questions you may have. 
Operator: Thank you. [Operator Instructions] We’ll take our first question from Jimmy Baker, B. Riley & Company. 
Jimmy Baker: Obviously, your recently introduced product is being very well received. With demand increasing and your desires to build some inventory at your dealers, can you maybe speak to the stability, the supply base, and its ability to meet your rising productions, have you observed any meaningful bottlenecks or key products that are in tight supply out there? 
Jim Landers: Jimmy this is Jim Landers. Not really yet, there is some indications that the manufacturing capability for engines is a little bit lower than it has been due to the depressed state of the industry, so that is a potential bottleneck, but none of that was -- we didn’t experience any of that in the first quarter and we don’t project it for any of our operations for the retail selling season, but if there is anything it will be an issue, it might potentially be engines. 
Jimmy Baker: Okay that’s helpful. And lastly, as you look geographically, can you comment a little bit on where you are seeing the greatest strength and maybe you can comment on the impact on mild winter weather on some of the northern markets and if you feel like some of the retail sales strength is just sales income pulled forward into these early months. 
Jim Landers: Jimmy I’m sorry, I don’t think we have any great information on that. We don’t think the mild winter pulled too many sales forward. We don’t think it accelerated retail sales too much, not necessarily. I think that the southeast is a bit better. I think the west coast is still pretty weak for us. And that’s probably the best indication we can give right now. 
Operator: Next question comes from Andy Horovitz [ph] with Old School Partners. 
Unknown Analyst: You made a comment in your release today that you are seeing that this is going to be a very strong season with the retailer and I am just wondering to try to understand that is that retail across the board, is that your specific retail were you selling to, and if so can you give us a little bit of a sense of what the order trends are for the business? 
Ben Palmer: This is Ben. In terms of order trends, I will start there. Clearly they are strong with the introduction of new models. This is a change for us, you know we in years past have been trying to move up on, you know focus more on our larger boats, so this is a key decision and obviously the right one for us to move down in size and appeal for the value conscious buyer. So, clearly in our numbers that you see this quarter and also keeping our production levels up at these levels, the sales right now are in smaller boats, there continues to be weakness in the larger boats and so I would say it’s - for us it’s quite dynamic. So I don’t know that we have a great read across the different markets because small boats is where we are focused. I guess we are hearing some anecdotes about the fact that maybe the larger boats some of the cruisers maybe getting better, we are in that from some of the dealers, but it hasn’t circled through yet to our order book. 
Unknown Analyst: Also can you remind us, in 2005, 2006 what were the gross margins that you were doing then compared to today? 
Ben Palmer: We were approaching mid-20s back in that timeframe, obviously completely different environment with today as you know, with the focus on the larger boats and very high production levels and so forth. So, we are clearly lower than that level at this point in time. 
Jim Landers: At that point in time, we were producing probably twice as many units as we are today. 
Ben Palmer: And larger boats. 
Unknown Analyst: Okay. And in terms of -- you mentioned international is still weak, am I correct? 
Jim Landers: Yes 
Unknown Analyst: Okay. How much is it with international this quarter? 
Ben Palmer: 22.5%. 
Unknown Analyst: 22.5%, okay and that weakness is that coming out of Europe or is it -- why the weakness because of European weakness or some other issues? 
Ben Palmer: Yes, I think [indiscernible] European economy is most many other economies around the world and Europe is -- other than Canada, Europe in that region is our biggest market. They continue to have a lot of difficulties and struggle and I think that’s where they continue to impact boat sales in that region. 
Jim Landers: In the past, we’ve done well in Spain and Italy and of course they are the [indiscernible] 
Unknown Analyst: [indiscernible] Okay. 
Operator: [Operator Instruction] It looks like we have no further questions. Mr. Landers, we’ll turn the conference back over to you for any additional or closing remarks. 
Jim Landers: Okay, well we appreciate the people who listened in this morning and the questions. Thanks again, everybody have good day. 
Operator: And ladies and gentlemen, this does conclude today’s conference. A playback will be available on www.marineproductscorp.com within two hours following this call. Thank you for your participation and have a great day.